Operator: Ladies and gentlemen, thank you for standing by and welcome to the third quarter 2012 earnings conference call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Instructions will be given at that time. (Operator Instructions) As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Mr. Enrique De Anda. Please go ahead.
Enrique De Anda: Thank you very much, Cathy. Hello everyone and welcome to the conference call. Before we begin, I would like to remind you that today’s discussion will contain forward-looking statements related to future events and expectations, including our expected future financial performance, results of operations, and financial conditions. These forward-looking statements involve important known and unknown risks and uncertainties which could cause actual our results to differ materially from those expressed in our forward-looking statements. Please review the forward-looking statements disclosure in today’s slides and press release for a full discussion of these risks and uncertainties. In addition, we included some non-GAAP financial measures in our discussion. Reconciliations to the most comparable GAAP financial measures can be found in the appendix to today’s presentation and on our website at centuryaluminum.com. I’d now like to introduce Michael Bless, Century Aluminum’s President and Chief Executive Officer.
Michael Bless: Thanks Enrique. Pardon me, and thanks for everybody for joining us this afternoon, especially those of you in the North East who are dealing with the aftermath of the storm. You got our very best wishes. I was raised in New England and lived at Manhattan for 10 years and despite that having like most people watched the images on TV, on the web last couple of days can imagine what you all are dealing with both professionally and personally. And so we got our best wishes at the recovery period is as efficient and as quick as reasonably possible. Let’s go to slide three please and let me give you quick update of what we’ve been working on here at Century over the last couple of months. Most importantly we continue to make very good progress across the company on our safety initiatives. We made major investments in initiatives like training and behavioral based safety and these are showing terrific results. We’re right now focusing on making sure our people can recognize the hazards that exits in the tasks that they perform both everyday tasks and also most difficult and nonrecurring tasks for which procedures are written but obviously not studied every day. We need to make sure our people understand that it’s their responsibility to stop these activities rather than accepting appropriate risk. The performance metrics and safety have been good across the company. I’ll review those in a few minutes. And it’s interesting when we go a couple of months at each of our facilities and we have at each of them without a reportable incident, people being sort of gain a new attitude, they become convinced that a zero accident environment is indeed possible and this is obviously – it’s success I suppose building upon success. So excellent, excellent progress there across the company. In 2013, I am happy to report that each of our facilities, each of our businesses has committed to take their safety performance to a new level. Okay, let’s move on Hawesville obviously. The plant continues to perform exceptionally well. This despite the fact that we continued to deal with the aftermath of the upset conditions in the power rooms [ph] that we experienced as you remember in the summer and the fall of 2011. It’s a testament to the management team that they are dealing with these issues one by one and that none of them are impacting the bottom line. As we said the issue in Hawesville is now an uncompetitive power contracting arrangement. As you know, we’ve had a lot of discussion and effort on this issue since the beginning of the year and as we feared towards the end of the summer, we came to the regrettable conclusion that the plant just isn’t viable under the current power price and under the current metal price environment. Lastly, if there were no change to this environment, we’d regrettably have to close the plant at the end of the notice period in August of 2013, as you remember we put out a press release. We did in fact issue a notice of termination to the power supplier in August of 2013. We’re now working aggressively with all the constituencies including the Big Rivers and Kenergy, as you know those are respectably the wholesale and retail power providers. We got a long way to go but I can report very good progress and a good co-operative spirit over the last couple of months and I’ll detail for you at the end of my comments about what we see over the next couple of months. Moving onto Grundartangi, our Board has approved the expansion of hot metal capacity at the plant and thus we’ve begun the major engineering work and ordering the major equipment. Just to remind you here, this is an increase in the hot metal capacity at the plant by about 15% over the next couple of years. We’re doing this without a change to the footprint of the plant, i.e., no new reduction in sales. In order to achieve this, we’ll require a modest amount of additional electric power. It’s important to note that this will have no impact on the power that we require for Helguvik. As you might imagine this is an attractive project. It’s got a good financial return and very low technical risk so we’re excited about it. Lastly at Ravenswood, I want to update you on the events of the last couple of months but I thought it might be useful before doing that to take a step back and remind you about the situations to put it into context. Many of you know this who’ve been following the company but I think it bears a repetition. So first and foremost the tariff, the large user industrial rate in the region right now, i.e., that we would otherwise pay without any kind of special power arrangement is about $52 per megawatt hour. As you may remember going back to the winter of this year 2012, the state legislature voted $20 million in annual tax credits from coal severance tax to reduce our power bill. This goes over 10 years, so $20 million over 10 years. This legislation was supported very strongly by the governor and other key leaders. In addition, the power companies said that it will continue to divert about $19 million of annual fixed costs, these are its fixed costs away from Ravenswood’s load, before Ravenswood is shut, these costs were being billed to Ravenswood. So in the add-up of the two obviously you got about $39 million in annual support to reduce our power bill and when you apply that to the $52 tariff, you get a resulting rate in the high 30s, so high 30s per megawatt, $30 per megawatt hour. Those of you who know our business know that this kind of rate might be acceptable for an operating plant, our plant already operating obviously in the kind of long-term even medium term metal environment that the forecasters are talking about. Well gradually it doesn’t work for Ravenswood obviously given the startup costs we need to incur to get the plant going again. Just to remind you as we’ve said before, we need to incur about $90 million, nine zero million dollars of spending in order to get the plant restarted. Again as a reminder about half of that is working capital, mostly alumina of course. Of course you get that back as you sell your product and about half of that is capital and another so called sunk costs. So an issue now on top of that $39 million is the so called third tier of a power structure that we require to get the plant moving again. And this is a flexible rate that would be referenced to the LME price. This has been in our filing to the PSC since last April. We need this kind of flexible rate in order to support those restart costs about which I just spoke and importantly going forward in order to provide a bridge for the plant during periods of extreme volatility in our industry. Going back in 2008 and 2009 if we have had this kind of structure, we believe it’s unlikely that the plant would have had to close. So let me give you an update since we talked to you last time, as expected the Public Service Commission did issue its order in early October. That having been said it didn’t pose some terms on that third tier of the structure called the LME tier of the structure that simply don’t work for us. And in that respect last week we submitted our thoughts about how in fact it could work and again here at the end of my comments, I’ll give you some more detail about what we said and what we see coming over the next couple of months. Okay, if you could turn to slide four please, just a quick review of the company’s operations during the last couple of months, during the third quarter. As I said before, safety was good across the company during the quarter, I would note that Grundartangi in particular had an incident free quarter, that’s terrific performance in any event and especially noteworthy given that we’ve got a lot of temporary employees in the plant over the summer holidays. Turning to production, as you can see Hawesville was about flat to the second – Q3 over Q2. It was up a little bit in absolute terms but flattish on a per day basis. There was one less day. That’s indicative of a stable operation as I said. Mt. Holly was about flat again on an absolute basis but down just a little bit on a per day basis. This is due to a variety of small factors that have all been worked through by the management team there. Grundartangi was up about 1% in absolute and flattish on a per day basis. So good production performance across the facilities. Key production metrics going down the chart here as you see, generally good across the company. No major changes from the second quarter, again good stable operations. At the bottom importantly conversion costs falling across all of the facilities as you can see. If you go back to July and look at look at what we told you of these, this performance is a bit better than we had forecast even with the updated run rate operations costs that we showed you in July, so we’re pleased here. And to remind you as we said you before, if you look back over the last 12 months, we’ve bought the company’s cash breakeven point down significantly. And with that, I’ll turn it over to Shelly. She’ll talk to you little bit about the market environment and then summarize the financial results. Shell?
Shelly Harrison: Thanks Mike. If you could turn to slide five please. During the quarter, LME prices averaged $1,920 per tonne. That’s down $50 from Q2. Prices dipped just below $1,800 per tonne in August which is the lowest level we’ve seen since late 2009. Aluminum prices rallied in September to a six month high of $2,177 in response to QE3 and expectations of additional Chinese stimulus but since then, series of a slowdown in China, the unresolved Eurozone economic crisis and uncertainty around the U.S. fiscal cliff. Of course prices bring us right back to below $1,900 per tonne. This illustrates that we’ve been talking about for the last few quarters where the aluminum market is being driven more by macro concerns rather than the true fundamentals of our industry. During the third quarter, LME stocks increased by about 220,000 tonnes and stand at about 5.1 million tonnes today. However we’re still seeing long lines to access smelt from warehouses and financing deals remain economically attractive. This dynamic continues to support regional premiums at record high levels. The Midwest premium continued to rise during Q3 and is now just over $0.11 per pound. GDP at European premium have also increased to around $280 per tonne and Japanese premiums are up to $255 per tonne. Taking a look at the aluminum industry fundamentals, global consumption is up about 3.5% year-to-date. This is being driven primarily by demand growth of 8% in China and 9% in the U.S. In Japan, consumption is up about 5.5% this year while demand in Europe is down a little over 6%. Global production is also up around 3.5% primarily due to the Greenfield projects in China where aluminum supply is up 11.5% year-to-date. Moving on to alumina, prices edged up during the third quarter and are currently trading in the range of $320 to $330 per tonne. The most recent NALCO contract for 2013 priced it just over 16% of the LME. This is equivalent to about $305 per tonne today due to the recent decline in the LME. If we can move on slide six please. I’ll take you through the company’s financial performance for the quarter. The average cash LME price was down 3% Q3 over Q2, but on a one month lag basis, which is the basis for most of our sales, the LME price were down a little over 10%. When you look at our realized unit prices in the U.S., they were down almost 6% quarter-over-quarter. This is due to improved premiums for Midwest deliveries and value added products. In Iceland, our realized unit prices were down 8% which reflects the increase in European premiums. Turning to shipment volumes, in Q3 we had direct sales from Iceland of approximately 3,500 tonnes. If you include that amount along with the totaling volumes, you’ll see that Iceland shipments were up 1% Q3 over Q2. Shipments at Mt. Holly were down 1% in the quarter while hot metal volumes were up 3.5%. The increased shipments at Hawesville were due to some high-purity metal sales that we held back at the end of Q2 in order to take advantage of stronger markets for that product in early Q3. So overall, global shipments for the company were up 1.5% in the quarter. Moving onto income statement data, net sales were down 6% Q3 over Q2. The decline in the LME price driven that sales down by 9%, while higher premiums as well as slightly higher shipments offset a portion of this impact during this quarter. Adjusted operating income decreased $18 million from Q2 to Q3 primarily due to lower LME prices. So let me take you through as you know the key cost drivers during the quarter. In Q3, we saw lower LME linked alumina and power costs at $7 million and raw materials were better by $4 million. The raw material improvement was primarily due to lower carbon costs at our Hawesville facility. As we discussed on previous calls, we have seen declining carbon costs at Grundartangi and Mt. Holly over the last couple of quarters and now Hawesville is seeing that reduction as well. Power costs at Mt. Holly were down $2 million during the quarter due to the amended power agreement that was put in place last quarter. This agreement became effective on June 1, so Q3 was the first four quarter to reflect the benefit of the new arrangement. Partially offsetting these cost improvements, SG&A was up $2 million quarter-over-quarter. The increase consisted primarily of ongoing expenses to maintain our new anode facility in the Netherlands until the plant begins production. You can expect to see this increase in SG&A continued for the next several quarters until the restart completes. Once the facility is up and running, most of these expenses will be reflected in cost of goods sold. Moving down the income statement, we had a quarterly adjusted loss of $24 million or $0.25 per share on total common and preferred shares. Our adjustments to reported net loss in Q3 include the elimination of an $8.2 million lower cost to market inventory adjustment as well as the elimination of a net $4.1 million credit related to a couple of litigation items. Lastly on this slide, I’ll just make a couple of comments on cash flow. As you can see here, CapEx for the quarter of $4 million. As is normal, we expect capital spending in the fourth quarter will be significantly higher than the average of the first three quarters of the year. Helguvik CapEx was $2 million during the quarter and starting in 2013, we expect the spending to drop down to about $1 million per quarter and so we’re able to reach our major construction efforts. The quarter-over-quarter cash was up $17 million and we ended September with a $173 million on the balance sheet. Let’s go on the next slide and I will take you through the changes in cash in a bit more detail. So on slide seven, we show our normal cash flow waterfall bridging Q2 to Q3. I’ll just focus on few of the more unusual items here. During the third quarter, we had a withholding tax payment of $13 million, it’s related to the return of cash from Iceland to the U.S. As was mentioned previously, these are temporary tax payments that are refunded to us at the end of the year. In fact, just today we received a refund of approximately $28 million from our withholding taxes paid in early – I’m sorry, late 2011 and early 2012. In addition to the withholding tax payments, we had another $4 million during the quarter which consisted of income tax payments for Iceland as well as the modest tax payments in the U.S. due to limitations on (inaudible) certain states. Moving to the right, you can see we had an $8 million cash inflow from an insurance settlement during the quarter. This claim related to the Grundartangi transformer that was damaged during transport back in 2010. The last thing I’d like to point out on this slide is the $21 million benefit from a late customer payment. As you may recall from last quarter, we had a large payment that was due at the end of Q2 but not received until the 1st of this day of Q3. As a result, the quarterly change in cash was positively impacted by this payment which normally would have been a Q2 receipt. With that, I’ll hand it back to Mike.
Michael Bless: Thanks Shelly. If we could slide eight please, just like to give you some detail on some of the major things on which we’ll be working over the next couple of months. First and foremost, Hawesville as I talked about before. Again just to state the plant isn’t viable, we’ve determined under the power contract so we now need to work and change that situation and we’re focused on the steps required so that we can purchase power from the competitive wholesale markets. We obviously also need to be able to bring this power across the grid to this Hawesville smelter itself. In this respect, we’ve confirmed that there were no major physical impediments to doing this so we’re now working with Big Rivers and Kenergy on the contractual and regulatory requirements necessary to wheel that power into the region. As I said the process is going quite well, so good cooperative spirit. All parties are working together. We’ve got some significant issues to overcome but we’re becoming increasingly optimistic that we’re going to find a solution that fits the needs of all the constituencies to solve this problem. Moving onto Ravenswood, again as I said a few moments ago, we did file a so called request for reconsideration late last week that was in response to the PSC’s order in early October as I described. In that filing that we made last week, we essentially provided the Public Service Commission with two alternatives. In the first, we accepted the key premises in their order from early October, i.e., those things related to that third tier of the structure that simply don’t work for us. We said that under that construct however we couldn’t restart the plant. We wouldn’t be able to restart the plant in the current economic conditions. In essence we have to wait for better days in order to restart the plant under those conditions. We also submitted an alternative proposal that being a rate for the next five years at which we would be able to start the plant even in the current market conditions. We expect to hear back from the PSC within the next week or two and then we’ll assess where to go from there. We still believe strongly that a pathway should exist that makes sense for all constituencies to get this plant restarted. It’s one of the major goals in our company but this year and going into 2013 we remain committed to get this plant restarted. We continue to believe that it’s a good investment case for our share owners and it goes without saying, it will be a great thing for the community of Ravenswood and the nearby communities when this plant restarts. Moving onto Helguvik, we met with one of our two power suppliers this week in an attempt to close off the remaining issues between us. As we told you before, we’ve been sensually agreed in headline terms with this particular supplier and we’re hopeful that we can be in the same position with the other supplier before the end of the calendar year. We’re also encouraged by the progress we’re seeing on other work that has to take place to support the smelter, the restart of our construction project and of course over the longer term the operation of the smelter itself. For example the grid operator, the national grid company continues to finalize agreements with the communities through which the high voltage lines will go. We believe we continue to have support from all the key important constituencies here, both inside the government and otherwise and we’re committed to be in a position to restart the major project activities during the first half of 2013. Couple of other items, Shelly talked about our new anode plant in the Netherlands. Just to remind you the rationale for this acquisition. We talked about it last time, basically three parts. The first I could characterize is relatively defensive. We came to the conclusion based on the fact that our former European suppliers were going in different directions with their businesses that we needed to make captive our European supplier this increasing importance strategic material and this is to balance and complement of course, the supply we get from our 40% company owned company in China BHH. Second was a more strategic rationale, given that we now will control all of our anode supply, we’ll be able to drive more aggressively for example procuring larger anodes that are required for both say Grundartangi hot metal expansion and then the production at Helguvik as we go forward. And then third, the project i.e. the acquisition in the related capital spending has a good financial return when you compare the cost at which we believe we’ll be able to produce these anodes in Europe versus the price at which we believe we’d be paying from a third party suppliers over time, we see a good financial IRR there. So now we’re finalizing the engineering work for the capital projects that are required for a restart and to remind you, we expect to spend between $30 million and $35 million over the next nine to 12 months just so in getting that plant back ready for operations. One last item that’s new, we’ve recently informed our folks here that we plan to move our headquarters corporate office from Monterey to Chicago. For those of you who’ve been following the company for some time you know that the company’s office, the corporate office has been out here in Monterey, California since the company was found back in the earlier mid 90s. It goes without saying that in the U.S. all of our operations, all of our customers, our suppliers, our communities are in the Midwestern and Southeastern part of this country. So the rationale for this move is pretty straight forward. We want to drive closer integration between our corporate staff and our businesses. We’ll also obviously make it more efficient for our people to travel to our international operations. We’ll be in a better time zone. We’ll be closer to a major airport, it’s pretty straight forward. We plan to have the move completed by the middle of 2013 and we will have some costs that will roll through the income statement here over the next couple of quarters related to the move. With that Shelly and Enrique, I think we can move to take questions.
Enrique De Anda: Cathy, we’re ready for questions.
Operator: Thank you. (Operator Instructions) We’ll go to the line of Kuni Chen from CRT Capital Group. Your line is open. Please go ahead.
Kuni Chen – CRT Capital Group: Hi good day everybody.
Michael Bless: Hi Kuni.
Kuni Chen – CRT Capital Group: How are you doing?
Michael Bless: How are you?
Kuni Chen – CRT Capital Group: I’m doing well.
Michael Bless: Good.
Kuni Chen – CRT Capital Group: I guess just to start off on Ravenswood. Can you just remind us structurally during let’s say a period of low aluminum prices, how you’d like to see part of the economics there transfer to the rest of the rate base?
Michael Bless: Sure. Kuni, it’s pretty straight forward. So again the first two tiers, the tax credit and we’ll call it the fixed costs are fixed. So those don’t change based on the metal price and then the third tier for your comment would basically float, it’s not unlike the arrangements that we have with the power suppliers in Iceland. So it would be flexible up and down based on the metal price and It’s engineered to I mean so many words to protect the plants, cash flow in simple English, it’s engineered to ensure that at even the kind of metal prices that we saw maybe not at a very, very depth that we saw in the spring of 2009, but it’s something right up to their hundreds of dollars below where we are right now that the plant would be at worst breakeven.
Kuni Chen – CRT Capital Group: Okay.
Michael Bless: From a cash standpoint.
Kuni Chen – CRT Capital Group: Basically the gist of that is so at a lower metal price you pay less and other folks might pay a little bit more?
Michael Bless: That’s precisely it.
Kuni Chen – CRT Capital Group: All right, okay. And I saw some commentary out there in some of the media sources, I think talking about the – as far as Ravenswood goes, kind of the longer term viability and Century as a company. I just wanted to get your take on kind of what that was all about and I guess why – what’s the downside to West Virginia if you decide to invest $90 million to restart this plant and why are they looking at kind of the longer term credit picture of the company?
Michael Bless: I don’t think, to answer the perhaps the penultimate part here to your question first, that there is certainly no downside. It is not only huge upside as we see it, as I said to Ravenswood and the surrounding communities. I don’t know, I do think I know what you’re referring to, there was a reference in and I can’t remember which media it was in. There were lot of Kuni, constituents out there I don’t know, I can’t precisely guess as to why some of them would be saying something like that. Just to get a bit more specific in the – and this is all of course a matter of public record, the PSCs orders and our filings and other constituencies’ filings are all a matter of public record. One of the things that the PSC did put in its order that came out in early October was that to the extent in that tier three structure that there was any deficiency so any amounts that we would pay because of a low metal price that were below its tariff, tariff obviously reduced by the support, the $39 million of support. The PSC’s idea is that that would be kept in sort of an account and that that their concept is that Century would repay that at the end of the 10-year period. So I think there was some discussion there about what entity in the Century corporate structure would guarantee that amount. We have obviously said that that part of their proposal makes enough sense to us and that’s what I referred to when I said that we had – there were parts of it that we just couldn’t accept. To us that would simply be – it’s frankly borrowing our losses. And on behalf of our share owners that makes no sense at all. So just speculating, my best guess is that’s the kind of thing to which those comments are referring.
Kuni Chen – CRT Capital Group: Okay. All right, now that has cleared up. I’ll turn it over to the other folks. Thanks.
Michael Bless: Thanks Kuni.
Operator: Our next question comes from the line of David Gagliano from Barclays. Your line is open. Please go ahead.
David Gagliano – Barclays: Hi, thanks for taking my question.
Michael Bless: Hi Dave.
David Gagliano – Barclays: I wanted to just ask on Hawesville. And I know you’ve talked about this in the past, but I was wondering if we can just quantify the potential cost savings and tens of millions of dollars, if for example you’re renegotiating Hawesville and you reset the power rate at sort of the current power rate, prevailing power rates if you’re successful in reaching out and resetting that power rate, what’s the total dollar impact?
Michael Bless: No problems, David. It’s a great question obviously and so I mean rough order of magnitude if you compare the current power price under the Big Rivers contract to not even the current market power price but given that its upward sloping, the average price we could get if we fixed it for a couple of year period, a three to five year period. So that’s even al little bit higher than the current price again because the curve in that region, the power price in that region is upward sloping. You’re talking about a per tonne production cost difference to the smelter of over $200 per tonne, well over $200 per tonne in delta there. And then just simply multiplied by the plants 250,000 tonne capacity, you get a sense right there that’s its sort of at a minimum of $50 million EBITDA kind of delta.
David Gagliano – Barclays: Okay, all right that’s perfect. That’s very helpful. Now on another subject again, it comes up a lot with a lot of companies, so nothing personal, I just want – and like you said lot of us doing this remotely. So I would have remotely worked this out [ph]. Can you just help me understand the liquidity situation. I believe it’s a $175 million now. I am doing some quick back at the envelope, I think your CapEx is call it $15 million a quarter but then there, I’m sorry $50 million a year I think. Without me – instead of me guessing here with everybody on the line can you just walk me through the cash flow situation, sort of the sources and uses for next year?
Michael Bless: Sure. I’ll ask Shelly to dive into it. Nothing, you can’t offend us David so no offence taken, it’s a very reasonable question. So Shelly you want to kind try to take this.
Shelly Harrison: Sure. I’ll take a stab at it, Mike you can add on to it. So we said we’re right around $175 million in cash at this quarter end and we also have $42 million of availability on our revolver. At this point it’s only being used for letters of credit. So we have almost full available there on our remaining piece. Obviously cash flow is going to be highly, highly dependent on your metal price but kind of taking that aside looking at some of the major cash outflows and inflows. We did have the large refunds that I mentioned that we received today in Iceland that was $20 million, so that will a Q4 inflow. As we said we’ve got our normal maintenance CapEx. We’ve got the Grundartangi expansion that Mike mentioned. We’ve got the Vlissingen project. I don’t think we’re putting numbers on that, but just to give you a sense for the restart of the first furnace there that’s going to be about $30 million or $35 million over the next several quarters. Mike, what are some other major items you can think of?
Michael Bless: I think Shelly has got it right, David. The only thing I would mention – she has got it right and you had right David about the maintenance CapEx is kind of here at Century $10 million to $15 million, although I would note and you’ll remember that during the financial crisis in the later quarters of ‘08 and then going into ‘09 we held it at levels much, much below that, which you can do for a year or two but don’t want to do it for very long but it just start impact reliability and of course we wouldn’t scrimp a penny in terms of anything directed towards safety or environmental. So you got kind of $10 million to $15million as sort of normal run rate here on maintenance CapEx. And the only thing I would note, Shelly talked about the two major projects this coming year that are on the – that are in the plan, number one the – the first year at the Grundartangi hot metal expansion which we have some large capital items that need to get procured and paid for, and number two, the Vlissingen, the anode plant restart CapEx. Those are highly sort of variable projects. So that while we will make some commitments here probably in the next couple of months for some big ticket items, if the world gets much, much worse those can be stopped and started.
David Gagliano – Barclays: Okay. All right, that’s helpful. Thank you. I appreciate it.
Michael Bless: Good, thanks David.
Operator: Our next question comes from the line of Sal Tharani from Goldman Sachs. Please go ahead.
Sal Tharani – Goldman Sachs: Hi, how are you?
Michael Bless: Hi Sal.
Sal Tharani – Goldman Sachs: First of all hopefully you’ve moved to Chicago and we can see you a little more often and you mentioned all the constituency you’re going to be closer to, you didn’t mentioned that you’re going to be closer to lot of analysts who cover you and (inaudible).
Michael Bless: No comment.
Sal Tharani – Goldman Sachs: I was wondering a couple of things, couple of housekeeping and then I have some more questions on electricity. The insurance settlement of $8 million, does this goes through the P&L?
Shelly Harrison: Yes, it did. It went through the P&L. It was in other income down at the bottom of the P&L.
Sal Tharani – Goldman Sachs: Okay, got you. And did you give the number for the Grundartangi hot metal expansion?
Michael Bless: Yes, we’ve talked about that one before but I don’t think things were catching it Sal, I don’t think I restated now. So it’s a couple of year project. The spending is and the activity goes on for about the next four years, 2013 through 2016 and the aggregate spending is about $65 million.
Sal Tharani – Goldman Sachs: That’s their total spending?
Michael Bless: That’s total spending, yes.
Sal Tharani – Goldman Sachs: Okay. Most of it is going to be in the front end where you’re going to buy the equipment?
Michael Bless: That’s a good question. Yes, there is a good chunk of it especially this coming year that one of the big ticketing and long lead time items is some upgrade high voltage equipment and that will be in 2013. So roughly maybe a third of that number could be in 2013.
Sal Tharani – Goldman Sachs: Okay, great. Now on the electricity, the contract you have at Hawesville, do you know this is what region. Is it Misa or Pechiney [ph]?
Michael Bless: It’s Misa [ph], right.
Sal Tharani – Goldman Sachs: Okay, got it. And also with the new contract is for the power and delivery separate or is it part of one contract?
Michael Bless: Well there is no contract yet of course but what would probably happen and I underscore probably because we’re talking about all of this but we would probably continue to be served by Kenergy which is the retail supplier today and by statute, the power supplier in that region that serves Hawesville. So the way it could work, it will probably work is that we would purchase power on the wholesale market and then it would be brought and Kenergy would – we obviously pay Kenergy to physically supply it to us.
Sal Tharani – Goldman Sachs: Got you.
Michael Bless: I guess is a short-winded rather than the long-winded answer I just gave you to two separate contracts but again this is all sort of subject to the next couple of months where it’s a discussion.
Sal Tharani – Goldman Sachs: Got you. And my last question on the power is, are you negotiating a fixed power contract or a floating contract?
Michael Bless: Well the way again, I’m sorry to give you the weasel words but the way it would probably work is that you would go out to a party and or parties I should say given though it’s a large load here and contract it physically by the physical power. And then either with that same party or parties and/or with financial parties you could make a decision to fix out some or all of that physical power. So there are two I guess the simple way to look at it separate decisions.
Sal Tharani – Goldman Sachs: Thank you very much.
Michael Bless: Thanks Sal.
Operator: Our next question comes from the line of Brett Levy from Jefferies & Company. Your line is open.
Brett Levy – Jefferies & Company: Hi Michael.
Michael Bless: Hi Brett.
Brett Levy – Jefferies & Company: Did Shell asked if your conference calls are going to get earlier when you move to Chicago?
Michael Bless: We can talk about that. We’ll put it on the list but thank you.
Brett Levy – Jefferies & Company: Okay. Also as you guys look at kind of the political environment and everything else going on in Iceland, was there something that kind of stopped you from doing what you’re doing now in terms of the expansion at Grundartangi and that you’ve reached headline agreement with one of your two suppliers at Helguvik. Is it something that’s changing that’s sort of should make us more optimistic that think us move forward faster there?
Michael Bless: No, I don’t – I mean Brett, we’re getting more optimistic, obviously Grundartangi is done. I would note on Grundartangi that there is a requirement as I think I know we’re talking about the past, the current operating permit is for 300,000 tonnes. We’re now scraping 280,000. So we’ll have to apply, for we think it’s a reasonably straight forward process but we take these processes seriously so we’ll have to apply for an increase in the operating permit because as I said we’re going to expand the plants fixed – pardon me, hot metal capacity by 15%, so that’s well above 300,000 it goes without saying. I wouldn’t make anything, it’s interesting new asset. I never thought about those two items sort of related before and so I guess trying to answer your question with as much gravity as possible. There has been really no change in the political or external environment there other than I think people and my colleagues in Iceland would say this more strongly than I could possibly say it. Would say that the relevant constituencies in Iceland continue to acknowledge that and I am talking about Helguvik specifically now that the project is critical for Iceland especially Southwestern Iceland, the Reykjanes peninsula. So I think it’s just – these things have taken time. They take time in any project. I think they’ve taken longer here just because of the complex situation post financial crisis in Iceland that you’re well aware of. So that again long and rambling answer but I think briefly no real change in the sort of external environment.
Brett Levy – Jefferies & Company: And then given the outlook for the 2.5 potential operations in the United States, what are your thoughts on hedging certain portion of production going into the next several quarters. I think I asked this most quarters but…
Michael Bless: Yes, no it’s a great question and believe me, we think about it not quarterly, we think about it daily, weekly. And as you know because we have done some hedging in the recent past, we are open to it is the right not term, we think that at the right time and in the right context it’s the right thing for a company with our profile, our balance sheet, our cost structure, et cetera. Given our cost structure, our plants breakeven points and all of that and the current metal price, it’s kind of difficult to envision doing anything, I mean you got to go out of couple of years out on the curve – out on the screen to see prices that are would it be at all conducive to locking something down. And as you know, especially with an environment with this kind of volatility the price of just sort of standard protection to puts and callers is such is reasonably high. So we look at it. We like it as part of our strategy at the right time. Right now, I would say Shelly and the current metal price environment it would be I’d be surprised to see us do anything.
Brett Levy – Jefferies & Company: And (inaudible) but obviously your corporate have gotten fairly low, your maturities are relatively close. Is there a particular event whether it’s clarity on Helguvik or any of the U.S. situations that sort of are the lynched in do I’ll need to kind of push at your maturities?
Michael Bless: No, that’s a great question. And as you would hope, and I hope expect we’ve been looking at this very carefully with advisors and such. And I think you’re hitting at the right – you’re asking it in the right way in my opinion Brett. I think when you look at where we are right now, if I were to be presumption with sit on your side of the table as a credit analyst, the uncertainty at Hawesville though we’re confident I think in a month or two when our level of confidence hopefully we can report to you has gone up even further and we’ve kind of checked a couple critical boxes. That would be something I would think that – I would hope that – we would hope that investors would look at and say that’s a key risk off the table and to David Gagliano’s question, I can start looking at that kind of pro forma profitability with a lot more confidence.
Brett Levy – Jefferies & Company: Thanks very much.
Michael Bless: Thanks.
Operator: Our next question is from the line of Richard Garchitorena from Credit Suisse. Your line is open. Please go ahead.
Richard Garchitorena – Credit Suisse: Great, thank you everybody.
Michael Bless: Hi Richard.
Richard Garchitorena – Credit Suisse: So my first question is more of an overall broader base question, but I guess when you look at the issues with the contracts at the Hawesville and Ravenswood and you weigh that against your CapEx for new restart projects, what’s the IRR, what’s the cost to capital that you target when you are in discussions to try and work to a favorable power agreement?
Michael Bless: Yes look, I don’t want to tell you the – we don’t have the corporate hurdle rate nor do I think that companies ought to, because we do what I’d think the companies ought to do certainly project based companies or companies whose businesses are more project basis is look at each of these on its own merits and given the risks, but financial and technical, I don’t want to go on, I’m sure I’m putting on the other end of this (inaudible) what I am talking about and so we look at each of these differently. Now Hawesville of course is a big different, there is no capital required there. There is no – we’d love to be in a position with the market based power price a year from now where we’re thinking of capital projects to improve that plants and lower the operating cost, to increase the efficiency of that plant, to improve the product profile of that plant. Those are all opportunities that could afford – that could be afforded to us once we have a good and stable outlook by the competitive power price. So there is no kind of IRR calculation there per se we’re not investing anything other than of course our time and energy and some modest out of pocket legal and other costs in getting this regulatory process done. Obviously in Iceland it’s quite different. At Grundartangi, you have a project there I just talked about $65 million in spending over the next four years. A very attractive return there based on the incremental footprint. Just to do the math, the simple math for you and those of you who follow the industry will have a basis of comparison, we’re going to spend $65 million if we’re correct and we think our estimates are quiet good to get 40,000-ish tonnes of incremental capacity. So just slightly over $1,500 per tonne of incremental capacity. New capacities coming on around the world in Greenfield plants of course at four and five times at installed costs so you can start to guess what the IRR there maybe just because those are incremental tonnes, you are spudding them over fixed costs basis already there, you don’t have to increase. So a good project. Ravenswood the same, given the power structure that we have envisioned the return there would be an attractive one but we need to get the power situation right because as I said you got $90 million of spending required again on the half of which is fund into the ground, the rest is in working capital which of course turns into cash.
Richard Garchitorena – Credit Suisse: Okay, great. And then my other question, in terms of the anode facility, I was just wondering if you can give us some color in terms of how we should think about the benefits going forward, once it’s up and running relative to current costs?
Michael Bless: Sure. Do you want to take this?
Shelly Harrison: Yes, so obviously we’re going to be making our own anodes now for the Grundartangi facility which has historically purchased and brought into Iceland pre-baked anodes and the expectation is that as we’ve produced our belts we’ll be able to bring down the average cost to build the anodes versus buying them from a third party supplier. We’ll also be able to bring in larger anodes which will be part of the expansion tonnes that Mike talked about, so that’s also a supported factor as well.
Richard Garchitorena – Credit Suisse: Great, thank you.
Michael Bless: Thanks.
Operator: Our next question comes from the line of Tim Hayes from Davenport & Company. Your line is open. Please go ahead.
Tim Hayes – Davenport & Company: Hello everyone.
Michael Bless: Hi Tim.
Tim Hayes – Davenport & Company: Just two questions, just to make sure you haven’t bought any power yet forward for Hawesville, correct?
Michael Bless: No, absolutely not. And we couldn’t and wouldn’t, it would be pure speculation until we had an agreed deal with the regulators signing off, so absolutely not.
Tim Hayes – Davenport & Company: Okay. And then the expansion at Grundartangi, or any thoughts on how much that would lower the operating cost?
Michael Bless: We’re going to give you – we’ll give you when we – when as we normally do, when we give you our assumptions for 2013 in the next call and this would be in February, Tim. We’ll give you a specific estimates on spending for 2013, increased production and the shipment volume for 2013 and as you say the impact on the OpEx. We’re right in the middle of our planning process now. We had our annual planning meeting just last week in Kentucky or actually last week in Kentucky and (inaudible) presenting our plan for our normal prices to our Board in early December. So we’ll be ready to talk with you about that in early 2013.
Tim Hayes – Davenport & Company: Okay, very good. Thanks.
Michael Bless: Thanks, Tim.
Operator: Our next question is from the line of Timna Tanners from Bank of America. Please go ahead.
Timna Tanners – Bank of America: Yes, good afternoon and congratulations and welcome back to Shelly.
Shelly Harrison: Thanks Timna.
Timna Tanners – Bank of America: I just want to make sure I understand, I am sorry if I missed some of this on the call, little hectic over here, but I mean what should we thinking of outsiders in terms of catalysts or things on the horizon that are going to help us know whether or not these rate cases are getting decided or Helguvik’s expansion goes ahead. Like what can we track externally and how are we going to know when those are making progress or not?
Michael Bless: Sure. That’s a good question, Timna. So in West Virginia, again that’s an active process in front of the State Public Service Commission and when we make a filing or the – as I said or the PSC makes a filing, it’s a matter of public record, you can go on their website and see it. Of course we have an obligation which I hope people believe we take seriously when there is a material event that happens, we’ll obviously issue a press release and if it’s really material, we’ll hold a special conference call but we’ll keep you up to-date through then and obviously update you quarterly through these calls but if you want to follow sort of the back and forth of it, it’s a matter of public record. Now in Kentucky, there is not a public process yet. We’re speaking with the current power providers and when we are ready, we jointly are ready. It will come in the form of a filing that the power company will make with the PSC there and I imagine, I can’t speak with specificity but I imagine that that will also be a matter of public record in that state as well. And so you can – you’d be able to follow that again when we come to key points. We’ll certainly disclose them through a press release. On Helguvik you really need to rely on us. There is no sort of public – we’re in bespoke negotiations with two private companies. One is actually owned by the municipality of Reykjavik, the capital and one is owned by private investors. 60% I should say owned by a listed Canadian company, listed on the Toronto Exchange. And so there I think you have to rely on our updating you our disclosure, certainly our press release if we come to a material point here in order to get updates there.
Timna Tanners – Bank of America: Okay, that’s helpful. And the other thing I was going to ask is we’re talking so much about power and I understand it’s a huge part of the cost structure but is there anything else that you want to highlight that you see ahead in terms of cost pressure or opportunities going forward?
Michael Bless: That’s a great question. I think Shelly talked about carbon.
Timna Tanners – Bank of America: Yes.
Michael Bless: And we’ve seen structural or I shouldn’t say so much structural but we’ve seen decreases in the cost of the carbon that we make in the U.S. and the third party anodes that we buy currently from China and Europe for Iceland as principally, as coke prices have come down reasonably significantly here over the last six to nine months. And across the rest of the spectrum, things are reasonably stable at this point in time. Shelly talked about where alumina is trading, both on a spot basis and on a contract basis. It’s trading around 16% of the LME, that would be on FOB refinery basis, so you’d have to add on freight from wherever you are taking it from and moving it to but that market has been so reasonably stable here over the last six to 12 months.
Shelly Harrison: It has. They were contracted out all of next year’s percentage LME contract. So our alumina cost will float with the metal price.
Michael Bless: But it’s something that we think about longer term of course as Shelly said, we start to develop a small short position in 2014 and then larger in 2015 as some of the larger toes in Iceland start to come off.
Timna Tanners – Bank of America: Okay, very helpful. Thank you.
Michael Bless: Thanks.
Operator: Our final question comes from the line of Paul Massoud from Stifel Nicolaus. Your line is open. Please go ahead.
Paul Massoud – Stifel Nicolaus: Hi, thanks for taking my question.
Michael Bless: Sure.
Paul Massoud – Stifel Nicolaus: I wanted to ask about Helguvik. If I remember correctly you had range of about $250 million on financing from some European banks I think before the financial crisis. So I guess my question is, one, is that the right figure, do I have the right, and two, when should we start to think about you guys stepping forward on the financing side for expanding at Helguvik? Should we – can we assume that it’s going to be around the time that you get sort of two headline agreements, agreements in principal with both of power contractors or should we assume – there needs to be much more of a solid agreement before you actually start approaching the financing question?
Shelly Harrison: Part of it size [ph], I think you still got the right size that has not changed. As you mentioned these are agreements that we were working on quite some time ago not as long as you indicated. It was back through the financial crisis but it has been several years now. So there is a significant amount of work that would need to go into refreshing those arrangements and getting it to a position where everyone is ready to move forward again, but as you indicated that the critical item will be having the assurance that we need on the power contracts. And once we have that, we’ll be in a position to very quickly move forward on the financing again.
Michael Bless: I mean the later part of your question Paul, I think its two things. I think it’s agreement with those two power suppliers. So we’ve only got two, so we need to – and whether it’s an agreement in principal or a signed contract will depend on a variety of factors principally what you have to do to take a signed contract or an agreement principal to a contract what other things need to accomplish or conditions that need to be satisfied or all that kind of stuff. There are also other things that need to happen in Iceland as I said, I gave one example the national grid company called Landsnet needs to conclude agreements with all the municipalities that are involved here. There are other things that we told you, we’re largely completed with our own permitting but the power companies need to make sure and we need to be satisfied that they have all their permitting in place, obviously we’re going to be very cautious given the amount of money we’re talking about here that we’re not going to go forward, A, to restart project spending and/or B, to finalize or certainly take down any financing until we are quite satisfied that the project is a go. But as Shelly said, we have a structure in place that might need to get tweaked depending on sort of what the world looks like and the European financing markets as we get closer to our restart date but we restarted a bunch of alternatives. There are other structures that are out there. The Icelandic financing institutions have strengthened quite a bit over time and are quite anxious to participate here on a larger scale than they were able to do just sort of a year ago. So we’re certainly continuing to keep it up all of it warm from a finalization standpoint we’ve got to get the project to a more final state which again we think we have reasonable confidence here, we’ll be able to do over the next couple of months.
Paul Massoud – Stifel Nicolaus: Okay. Thanks. I guess maybe just one other question on that is do you think the sources of potential inflation and the original costs for Helguvik that may have popped up since you’ve put out your original estimates for…
Michael Bless: Sure, it’s a great question. So we got a team. In fact most of the spending that’s going on going forward in addition to the site activity where we’re putting siding and roofing on the building and such is our team doing exactly this kind of engineering work, looking at costs that have come up somehow. Some have decreased as their slack manufacturing capacity out amongst the various suppliers. We’ve had on the up to the plus side options open up as more suppliers in the developing parts of the world for example get qualified to supply major pieces of equipment. And we’re also looking at the reduction technology because a lot has changed in the modernity of that reduction technology. That was the world’s most modern back in ‘06 and ‘07 when we signed this technology agreements, but the good news is the world has changed, i.e., that that technology from that supplier has become a more efficient. And so we’re doing a lot of work there. So it’s a compendium of things. But our team has worked on driving – is working on driving that cost down to offset sort of the normal inflation that you correctly referenced over the last five years and hopefully even do better than that.
Paul Massoud – Stifel Nicolaus: Thanks again for taking the questions.
Michael Bless: Thanks Paul.
Operator: And there are no further questions at this time. Please go ahead.
Michael Bless: Well I think we have nothing further other than again to thank everybody for joining us to wish those in the New York and nearby regions well. And tell you that we’ll talk to you again at the end of February as we normally do to talk about full-year earnings or certainly before got anything to say. Thanks again. Thank you, Cathy.
Operator: You’re welcome. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.